Operator: Good day and welcome to the Yiren Digital Third Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Keyao He, IR Officer. Please go ahead.
Keyao He: Thank you, operator. Good morning and good evening, everyone. Today's call features a presentation by the Founder, Chairman and CEO of CreditEase, our CEO, Mr. Ning Tang; and our CFO, Mr. Yuning Feng. There will be Q&A section after the prepared remarks. Before beginning, we would like to remind you that discussions during this call contain forward-looking statements made under the Safe Harbor provision of US Private Securities Litigation Reform Act of 1995. Such statements are subject to risks, uncertainties and factors that can cause actual results to differ materially from those contained in any such statements. Further information regarding future risks, uncertainties or factors is included in our filings with the US Securities and Exchange Commission. We do not undertake any obligation to update any forward-looking statements as required under the relevant laws. During the call, we will be referring to certain non-GAAP financial measures and supplemental measures to review and assess our operating performance. These non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the financial information prepared and presented in accordance with the US GAAP. For information about these non-GAAP financial measures and reconciliations to GAAP measures, please refer to our earnings press release. I will now pass it to Ning for opening remarks.
Ning Tang: Thank you all for joining our earnings conference call today. I'm pleased to report a stable and healthy quarter with concrete business development and a strategic exploration, driven by our quality over quantity strategy. This quarter's results underscored our consistent focus on sustainable, high-quality growth. Before I go into operational details, I'd like to share some highlights from this quarter. First, our Financial Services business made notable improvements in asset quality. Thanks to our continued focus on strong risk management and the borrower optimization. Second, we've been proactively exploring new online business models for our insurance division and have seen visible progress, driving an increase in sales of retirement-themed insurance products. As a tech-powered platform, Yiren Digital prioritizes the use of technology and digital capabilities to enhance our business model. Our growing online business model is expanding from financial services to the insurance brokerage space. Third, our ongoing investment in AI is already bearing fruit with proprietary AI applications now largely integrated into our daily operations, driving efficiency and improving customer experience. Altogether, these efforts are laying a solid foundation for the next phase of higher quality growth, one that will continue to drive value for our shareholders in the years to come. Now, let me go through our key business highlights. First, regarding our Financial Services business, the third quarter of 2024 saw a continued growth with total loan volume reaching RMB13.4 billion, a 36% increase year-over-year. The number of borrowers stayed relatively stable quarter-over-quarter at 115 million, a 24% growth compared to the same period last year. Meanwhile, our lending platform Yixianghua remains highly popular with monthly active users staying steady at around 4.5 million, a 52% year-over-year increase. Growth has been primarily driven by strong demand for our small revolving loan products, and an increase in repeat borrowing from high-quality customers. As I mentioned earlier, we have enhanced the quality of our customer base by focusing on higher quality customers with stronger repayment capabilities and better risk profiles. And now those new customers are contributing to a growing proportion of repeat loans, becoming an important growth driver. Over 60% of the loans facilitated during the quarter came from repeat borrowers, up five percentage points from the previous quarter. As our efforts to upgrade our customer segments yield success in phases, we are now focusing on increasing the repeat borrowing rate among existing customers, while maintaining a balanced mix of new and returning customers. Furthermore, as a result of our customer quality upgrades and highly effective AI-driven risk management, we've seen significant improvements across various risk indicators, confirming the effectiveness of our approach. In the third quarter, our FPD 30-plus rate dropped by 32 basis points to a record low. As of September 30th, 2024, delinquency rates for the 1 to 30 day, 31 to 60 day, and the 60 to 90 day buckets fell by 10 basis points, 20 basis points and 30 basis points quarter-over-quarter respectively. Additionally, M1 recovery rates rose by 1.82 percentage points reaching an all-time high. The shift in our borrower structure establishes a solid foundation for our sustainable growth. On the funding side, we made essential progress in expanding our funding partnerships. By the end of the third quarter of 2024, we have added nearly 20 new funding partners for the year. Meanwhile, our funding cost saw another 64 basis points reduction quarter-over-quarter. Moving on to our international business. Our growth momentum remains strong. In the Philippines, both loan volumes and revenues posted double-digit increase quarter-over-quarter. We also began optimizing our customer base there, while iterating our product offerings. And we expect these efforts to positively impact the profitability in the fourth quarter of this year. On our AI strategy, we made substantial progress with six proprietary AI systems now, supporting customer acquisition, customer service, asset management and collections in our daily operations. I will now highlight several updates to demonstrate this progress. Firstly, for our domestic business operations, AI has significantly enhanced our collection and quality assurance processes. As of the end of third quarter, 77% of day one overdue cases were covered by AI Robots, resulting in labor cost savings of nearly RMB2 million in Q3 alone. Meanwhile, to ensure the high professionalism of our services, we deployed 20 AI models for quality assurance in loan collections and eight AI models for quality assurance in customer service, with the collections models achieving over 96% accuracy. Additionally, we strengthened our AI talent pool by hiring over 50 professionals specializing in AI development, data science and modeling, further enhancing our digital capabilities. Secondly, in our overseas operations, we fully developed and refined our AI-powered ID verification model in the Philippines, achieving an accuracy rate of nearly 95% in the third quarter with performance now stabilizing. Moving to our insurance brokerage business. The overall industry has faced the profitability pressure due to regulatory changes including lower interest rates and the policy of unified commissions and fees in reporting and underwriting. Despite these challenges, our total premiums this quarter recovered to RMB1.35 billion, a 27% quarter-over-quarter increase. The rebound was partially driven by our online business initiatives. As I mentioned earlier, we've made progress in customer acquisition through social media, supported by AI-generated content. During the quarter, new policy premiums from social media channels contributed RMB7.5 million -- RMB7.1 million. This is a promising start. And we also built a dedicated team to focus on private traffic operations, driving efficient customer acquisition and conversion. Additionally, we are working on creating more synergies between our lending platform and insurance services by offering customized insurance products to our borrowers, and we expect to see growth from these efforts in the fourth quarter. In the Consumption and Lifestyle Services segment, our total GMV was RMB508 million for the quarter, a 10% year-over-year decline. As our customer base evolves, we are refining our product range to better serve our evolving demographics. Looking ahead, we plan to introduce more high-quality, tailored products to meet their specific needs. In summary, our priority remains ensuring long-term sustainable growth. In times of external uncertainty and the market fluctuations, it is critical to stay focused on maintaining the quality of our business. We will continue to expand our online operations and enhance synergies across our businesses, while further investing in R&D and increasing AI penetration. Furthermore, regarding our AI development, I would like to reiterate that we have been executing our AI strategy through the AI Lab which incubates, invest in and provides value added services to AI start-ups targeting enterprises, developers and consumers. We have made several early-stage investments this year, and we are exploring business cooperation with them. Additionally, I'm pleased to share that the commercialization of our proprietary AI systems is already underway and we expect to see corresponding revenue reflected in our P&L in the near future. Now I will pass it to Yuning, who will go through our financial performance.
Yuning Feng: Thank you, Ning. So hello, everyone. So, on this call, I will only focus on our key financial highlights. Please refer to our earnings release and IR deck for further details both available on our website. First of all, we are glad to have delivered a healthy quarter with stable financial performance. In the third quarter of this year, our total revenue reached RMB1.5 billion, up 13% year-over-year. In the Financial Service segment, total loan facilitation continued to grow steadily reaching RMB13.4 billion, up 36% year-over-year. This is primarily driven by strong demand for our small revolving loan products and the rise in repeat borrowing from our high-quality borrowers. Revenue from our Financial Service business increased 25% year-over-year to RMB836 million, maintaining a healthy and steady growth rate in line with our quality over quantity business guideline given external fluctuations. In the Insurance sector, our gross written premiums were RMB1.4 billion, down 5% year-over-year, but up 27% quarter-over-quarter. The annual decrease was primarily due to a significant decline in our life insurance sales, resulting from regulatory changes and product adjustment. The quarterly rebound was driven by our online insurance sales. As our ongoing online initiatives continue to progress, we expect further recovery in our overall insurance volume in 2025. So earlier this year, the guaranteed return on life insurance product was further capped at 2.5 annually under the new regulation, following a rate reduction from 3.5% to 3% last August, which has further impacted the overall profitability of Life Insurance sector in China. Moreover, the ongoing implication of the Unified Commission Fees in Reporting and Underwriting Regulation is adding pressure to commission rate industry-wide. Consequently, the third quarter this year revenue from the insurance segment were RMB85.5 million, down 68% year-over-year. In the Consumption and Lifestyle segment, the total GMV for this quarter stood at RMB508 million, a decrease of 10% year-over-year. The decline was due to already high product penetration among existing customers and our strategic reduction in product offering as we moved upmarket with our customer base. As our customer demographic evolves, we are strategically phasing out older product offering and developing new products tailored to their specific profiles and needs. On the expense side, sales and marketing spend increased 71% year-over-year to RMB336 million. This annual growth was mainly fueled by the swift expansion of our Financial Service segment and enhanced marketing efforts focused on attracting new and high quality customers. Research and development expense increased 287 year-over-year to RMB151 million due to our ongoing investment in AI enhancement, technology advancements and hiring of AI talents. Origination, servicing and other operating costs decreased 16% year-over-year to RMB206 million. This was mainly because of the decrease in the insurance business volume, which resulted in lower channel rebates and associated settlement costs. G&A expense increased 50% year-over-year to RMB80 million. The annual growth was mainly due to the increase in incentive bonuses and employee benefits. The allowance for the contract asset and receivable was RMB95 million, up 31% year-over-year. The increase was mainly driven by growth in our loan volume facilitated. Provision for contingent liability in this quarter increased to RMB272 million from RMB11 million in the same period of 2023. This is a result of a continued growth in loan volumes and our new risk-taking model, which required substantial upfront provision according to the current accounting standard. However, this provision will be periodically recognized in the P&L as guaranteed service fee over time. In other words, there is a time difference in revenue recognition under this product model. However, from a loan's lifetime perspective, profitability will be -- will show better performance compared to loans under a non-risk taking model. In the third quarter, the revenue from guaranteed service reached RMB137 million, which is five times that in the same period last year. Now on the bottom line. Net income of this quarter was RMB355 million, decreased 36% year-over-year. The decrease of net income due to three reasons. So firstly, as noted earlier, overall profitability in the insurance business decreased. Secondly, marketing expense and R&D expense rose as we continue to invest in attracting new high quality borrowers from our Financial Service business, and investing in developing our in-house AI capabilities. Thirdly, significant upfront provision has been set aside as we increased loan volume in our risk-taking models. Regarding cash flow. So as our loan facilitation business continues to grow and our loan balance expands, our funding sources, which are banks, financial institutions, et cetera, and associate guaranteed companies a request that we provide a strategic deposit, a common practice in the industry. This quarter we made one-time deposit payment based on our current loan balance, resulting in a notable decrease in our operating cash flow. We generated approximately RMB50 million net cash from our operations this quarter, but looking ahead, cash flow is expected to return to normal level next quarter. On the balance sheet side, our cash and cash equivalents remained strong at RMB3.7 billion, though reflecting a notable decrease. This change related to our-long term investment in the business expansion and potential license acquisition, which are still in progress. We will disclose more details once the deals are secured. Now, regarding shareholder returns. Firstly, for share buybacks. In the third quarter of this year, we allocated US$3 million to repurchase shares in the public market. As of September 30th, 2024, the company has purchased approximately 5 million ADS in the open market for a total of approximately US$16.5 million excluding commissions under the 2022 share repurchase program. Additionally, we distributed a cash dividend in October under our semiannual dividend policy with total payout ratio of 40% of our earnings for the first half of 2024. Lastly, on our business outlook, based on our assessment of current business and marketing conditions, we expect our revenue for the fourth quarter of 2024 to stand between RMB1.3 billion to RMB1.5 billion, with a healthy net profit margin. This represents our current and preliminary assessment, which may be subject to change and uncertainties. This concludes our remarks.
Keyao He: Operator, we're open for Q&A section.
Yuning Feng: Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question today comes from Kris Wu with Look Capital. Please go ahead.
Kris Wu: Hey, thank you, management. Thank you both for your sharing. Looking at the financial results, we have actually seen your loan volume was up by 3.5% quarter-to-quarter and going a bit down from last quarter which is 9%. And may we know where -- why is there a slowdown? And then also going into Q4, have you seen any further pickup in credit demand and loan application in October and November? And any updates on your new customer acquisition strategy? Thank you.
Ning Tang: Thank you. I'll take the first crack and Yuning can, yeah, add to it, please. I mean we see this demand for, yeah, credit, yeah, remains high. And but it's a very like uncertain market conditions and we are focused on this quality first or quality over quantity strategy, which, yeah, makes it a must to do great risk management. That's where you see, yeah, our results, yeah, are very encouraging, yeah. Going forward, we will maintain this strategy, but, we are also working harder on, yeah, bringing in more higher quality customers with, yeah, a reasonable customer acquisition cost associated with it, yeah. So, Yuning, please add to it.
Yuning Feng: Yeah. Thank you, Tang. So, yeah, I think we are expecting that in Q4, we are still carrying on our strategy in our customer acquisition strategy. As we are a 100% online business model, so, in this year, we are in a cooperation with TikTok, Douyin and WeChat and co-build an AI-driven real time analysis model, which efficiently screen unqualified borrower based on their credit score and qualified borrowers. But as year come -- as this year come to an end, I think in Q4, we are expecting the cost of customer acquisition still a little bit high in this quarter as we see a lot of competition from the market and also to manage our risk level. So, we will see how Q3 goes out. But, to summarize, I think we are still keeping a steady strategy and we are trying to acquire new customers at a reasonable price cost and trying to well, enlarge our -- expand our repeat borrowing pool. So that's the answer.
Ning Tang: Yeah. The idea is, we keep our risk management really robust and try our best to grow. And we have confidence, yeah, we will have, yeah, a relatively, yeah, high growth, yeah, in the quarters to come.
Operator: Thank you.
Keyao He: Hi, Kris. I hope that answers your question.
Kris Wu: Sure, sure. It's encouraging to know.
Keyao He: Do you have any further questions?
Kris Wu: Yeah, sure, sure, sure. Can you hear me? Yeah, let me follow up. It's encouraging to know that we are maintaining a healthy momentum and also to care for the risk management at the same time. Perhaps the next interesting aspect to look at is AI. Since we are seeing that you are increasing your investment in AI and hiring quite a number of professionals, could you explain what makes you competitive in the AI space, especially given that we have so many AI-native companies in the market? And could you also tell us more about the AI systems that will be commercialized as you mentioned in your remarks? Thank you.
Ning Tang: Thank you for the question. And so we are not a LLM company. We are a application of, yeah, AI company position. So we have like use cases, we have data, yeah, accumulated through all the years, yeah. And so we are uniquely positioned, yeah, therefore to really build like, yeah, credit related like models, insurance-related models, yeah. So, this is, yeah, our edge as an AI application company. And as I reported early on, AI models, yeah, systems have been built across our business, yeah, it's like from front-end to like back-end, and so, like customer acquisition, marketing intelligence, like a risk assessment like a customer service, like a collection, so on, yeah. So, many of the modules based on our preliminary market research are very welcomed in the marketplace. Yeah, so we are working on monetizing these valuable assets. Yeah, Yuning, can you add to it?
Yuning Feng: Yeah, Tang. So, as we mentioned in the early -- in the calls that we have developed six major AI systems that support our business operations. I think some of them are quite mature in use in our day-to-day business, some are in early developments. So we are, well, we evaluate which ones to -- maybe we can use to in our -- for our business partners. Some can be used in our peers. Some are maybe in financial institutions. We're trying to, well, the systems actually, when they are developed, are mostly in-house use, but we are commercializing to make it more useful in the market. And trying to, well, develop business in our, especially in our peers and the financial institutions. I think we are going to see some progress in the near future, maybe in six months to a year.
Ning Tang: Let me add two things, if I may. One is that, you know, finance-related like, exchanges, yeah, interactions, yeah, need to be, in many cases, very precise. So, we are prudent, yeah, in developing and utilizing AI models. Knowing that, yeah, generative AI has certain shortcomings, yeah. So we use, like, REG, so on, yeah, to mitigate that. But still, certain models are still in, yeah, the lab phase, and they haven't been fully used. But many others are in greater, yeah, deployment stage and ready for external commercialization. Secondly, I'd like to add that, yeah, the overseas markets can be quite, yeah, good places for AI, yeah, because there is like China, five, ten, even 15 years ago, yeah. So using AI, we can just leapfrog, right? Like, in China, we've experienced, like, you know, Internet, mobile Internet, big data, knowledge graph, so on to, yeah, AI, different phases of AI, until today, generative AI. But in, yeah, some overseas markets, like in the Southeast Asia, in South America, so on, yeah. So, these markets are really, yeah, ideal for AI deployment. Of course, we will be careful also in terms of risk management compliance, so on, yeah. I'd like to just add these two points.
Keyao He: We hope that answers your question, Kris, and thank you very much for your questions.
Operator: Thank you. This concludes our question-and-answer session. If you have any further questions, please contact the company's IR team for assistance. Today's conference has now concluded. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.